Operator: Good morning, ladies and gentlemen, and welcome to the CGI Third Quarter Fiscal 2020 Conference Call. I would now like to turn the meeting over to Mr. Lorne Gorber, Executive Vice President, Investor and Public Relations. Please go ahead, Mr. Gorber.
Lorne Gorber: Thank you, Sharon and good morning. With me to discuss CGI’s third quarter fiscal 2020 results are George Schindler, our President and CEO and François Boulanger, Executive Vice President and CFO. This call is being broadcast on cgi.com and recorded live at 9:00 a.m. Eastern Time on Wednesday, July 29, 2020. Supplemental slides as well as the press release we issued earlier this morning are available for download along with our Q3 MD&A, financial statements and accompanying notes, all of which are filed with both SEDAR and EDGAR, and are available for download on our website along with supplemental slides. Please note that some statements made on the call may be forward-looking. Actual events or results may differ materially from those expressed or implied and CGI disclaims any intent or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. The complete Safe Harbor statement is available on both our MD&A and press release, as well as on cgi.com. We encourage our investors to read it in its entirety. We are reporting our financial results in accordance with International Financial Reporting Standards or IFRS. As always, we will also discuss non-GAAP performance measures, which should be viewed as supplemental. The MD&A contains definitions of each one used in our reporting. All of the dollar figures expressed on this call are Canadian, unless otherwise noted. So with that, I’ll turn the line over to Francois to discuss the quarter.
François Boulanger: Thank you, Lorne, and good morning. I’m pleased to share our results for the third quarter. Revenue came in $3.1 billion down 2.2% when compared to last year and representing a constant currency decline of 3.5% year-over-year. IP remained stable both sequentially and year-over-year at 21% of revenue. We had a near term headwind from transaction volumes on certain SaaS based IP engagements due to the pandemic impact. For example, travel restriction reduced US visa volumes and increased unemployment had a negative effect on payroll volumes. However, new IP revenue was added to the portfolio from the recent acquisitions of Sunflower, Oasis [ph] and [indiscernible] which offset these temporary transaction declines. While the impact of the pandemic was felt broadly across our operations in the quarter, we initiated the necessary actions to minimize the bottom-line impact, to position CGI for future profitable growth. As such we expect a gradual improvement in the months and quarters ahead. Despite widespread economic pressures around the world during the quarter, we were able to close $2.8 billion in new contracts for a book-to-bill of 93% higher than last quarter a proof point regarding the strength of our existing client relationships and our ability to win business throughout the crisis. As client executives and CGI consultants continue to slowly and safely return to adept [ph] of workplace, we believe the opportunity for increased collaboration with current and prospective clients will accelerate our book-to-bill going forward. Over the last 12 months we booked $11.8 billion in new contracts or 97% of revenue. Our global backlog remains healthy at $22.3 billion or 1.8 times revenue. The vast majority of which a long-term managed services engagements. Adjusted EBIT decreased in Q3 to $448 million for an EBIT margin of 14.7% down 50 basis points compared to the same period last year. The decrease was largely due to non-recurring expenses taking in Q3. For example, we took a $10 million impairment charge related specific IP solutions for both oil and gas and infrastructure. Offsetting this headwind, Canada, the UK and Asia Pacific continue to pose higher margins year-over-year. Our effective tax rate in Q3 was 27% or 26.1% when excluding non-deductible restructuring expenses. This compares with 25.9% last year and remains within our expected range for the full year. Integration costs related mainly to recent acquisitions totaled $20 million in Q3 and we also incurred restructuring expenses $39.5 million in the quarter initiating the actions in response to the pandemic we outlined in Q2. At that time we announced an expected range of 2% to 5% of our professionals to be on temporary layoff status until there was more clarity on evolving crisis. With an additional quarter behind us and more clarity on the business impacts and our recovery prospects. We now expect to permanently restructuring approximately 2% of our consultants and professionals. We initiated these action in Q3 and expect to complete the majority of them in Q4 for a total cost now above to $115 million [ph]. This amount is higher than previously communicated due to the fact that the majority of permanent actions will be concentrated in European geography with drives [ph] prior restructuring cost. We do not expect additional restructuring related to the pandemic at this time. Excluding these costs net earnings were solid at $308.4 million for a margin of 10.1% and EPS of $1.18. Cash provided by operating activities was robust at $584.8 million or 19.2% of revenue representing an increase of $209.6 million compared with Q3 last year. This improvement was driven by a lower DSO of 48 days compared to 52 days in the same period last year indicating better collections. Government programs allowing for temporary tax payment deferrals and the positive impact resulting from the adoption of IFRS 16. Over the last 12 months $1.9 billion in cash has been generated by operating activities or 15.2% of revenue. In the quarter, we invested $79 million into our business largely in IP and managed services engagements. As planned, we did not complete any share buybacks in Q3. Looking ahead, for now the priority will remain the same which is to focus on investments and growth for our business and including the acceleration of both metro market and transformational acquisition opportunities. Net debt to capitalization decreased sequentially due to strong cash generation from 34.8% in Q2 to 28% at the end of June and remains within our comfort zone. With cash of $1.4 billion on hand and a $1.5 billion revolver that remains fully accessible. We now have more than $2.9 billion readily available to pursue profitable growth including over 1,000 potential merger targets in various stages of our pipeline with more than 20 discussions ongoing. Now I’ll turn the call over to George to provide more details on the operations, our strategy and on the outlook for our business and markets. George.
George Schindler: Thank you, François and good morning. The global pandemic has brought forward a unique set of conditions, requiring resolve and agility in order to take action now while continuing to prepare for the future. I’m proud of our consultants and professionals who have remained dedicated to delivering mission critical technology and business process services to clients around the world. During the quarter relationships with our clients and professionals has deepened reaching new highs in terms of satisfaction and engagement. These relationships continue to strengthen our positioning and remain key to CGI’s ability to exit this crisis, even stronger than we are today. Our operational rigor and discipline again enabled us to deliver a solid quarter which underscores the key elements of CGI’s resilience that I spoke about on the last call. It is this combination of diversified industry portfolio end-to-end services mix and proximity-based model that enabled us to mitigate the full impact of the business and industry disruptions created by the pandemic. As François just detailed, we converted several of the temporary crisis response measures we took last quarter into permanent restructuring actions. This drove a year-over-year decrease in non-billable headcount and SG&A costs. Although this restructuring unfortunately also affects some billable consultants. We accelerated virtual bootcamps and online learning’s. Utilizing CGI Academia, our global learning and development platform. This enabled us to reassign a large number of our professionals across various project opportunities and minimize the extent of the restructuring action. In addition, the executive compensation reductions that I mentioned last quarter remained in effect throughout Q3. All these actions continue to enable margin improvement opportunities now and in the future. And most importantly, the investments in our talent position us to continue to address the future growth opportunity as we execute on our built strategy. Continuing to trend we have seen over the past few quarters. Our mix of services is shifting towards longer term recurring revenue. In Q3, the percentage of managed services revenue is up again over the last quarter to 54% on a year-over-year basis. It represented 500-point basis point increase. In fact, managed services opportunities now make up over 60% of our pipeline. Now we continue to see strong interest for IP with demand up 8% over this time last year. Many of our clients are currently reprioritizing their business and technology initiatives given the crisis and also reassessing the partners they will turn to for help now and in the future. Our bookings in the quarter demonstrate our positioning as a partner of choice with our clients. In the quarter, we sustained and grew CGI’s share with existing enterprise clients with 96% renewal rate. Across all bookings 65% of awards [ph] were from new projects. These included a large cyber security consulting agreement with the UK government. A multi-year consulting engagement to help modernize Danish Customs operations. Instant payment consulting projects with one of Europe’s largest banks and the modernization of utility asset management for one of the largest utilities in North America, leveraging CGI’s unique IP business solution. As one of the few firms with the scale, reach, capabilities and commitment to be our clients global partner of choice. We are well positioned to continue delivering insights and solutions, our clients can act on. With this backdrop, let’s turn to the Q3 regional performance highlights. I’ll start with North America. In the US our revenue margin and bookings growth reflected strength of our recurring revenue base and intellectual property across industry sectors as we expanded our share of IT spending with existing clients. We continue to see a strong pipeline of opportunities as the industry rebound and reinvention phases began to take shape. And in Canada, our strong recurring revenue based enabled us to protect the bottom line. The revenue decline in lower bookings were primarily due to the immediate effect of a pandemic particularly in the oil and gas and manufacturing sectors. We see growing demand across North America for a more transformational approach to managed services to help clients gain immediate cost savings while improving agility to support their evolving business objectives. Moving now to UK and Australia. The strong results this quarter were again driven by a leadership position in the public sector. Where we renewed and expanded existing engagements notably in the space and defense markets. And now moving onto the rest of the Europe. Across the Western Southern Europe and Central Eastern Europe segment. A revenue margin experienced a high-level disruption from the pandemic. This is due to our mix of commercial business in these geographies which is largely in the manufacturing, transportation and retail industry. In the quarter, we initiated proactive actions to reduce SG&A and are in discussions with the work councils on these plans. We expect these measures to drive margin improvements across the geographies over the next few quarters. Across our Northern Europe segment, our manufacturing, transportation and financial services clients experienced high levels of disruptions from the pandemic. This resulted in significant softness and demand for higher end consulting and advisory services which are larger share of our mix in this region. In response, we continued our initiatives restructure our business consulting and infrastructure services businesses to reflect the current demand. Our healthy bookings in this region were driven by our focused on managed services including IP particularly in the government and utilities industries. While the pandemic has temporarily affected overall market conditions across Europe, we see emerging demand for our services as clients across industries reassess their operations for a post-pandemic environment. And finally in Asia Pacific, revenue growth was strong as we continue to leverage global delivery centers of excellence in our new managed services engagement. Across this region, we continue to see high levels of productivity throughout in Asia. The performance in each of our operating geographies reflects regional differences in client and industry impact resulting from the pandemic. Our collective focus however is a commitment to meeting our clients’ needs rigorous management of our indirect cost and investment in our consultants as we prepare for the future. A future that is already prompting our clients to increase the importance of technology in their own go-forward plans. Over the past few years we saw technology transition from helping drive business transformation to now being core to how clients create value for their customers and citizens. Over a span of just a past few months’ organizations urgent responses to the pandemic became a catalyst for advancing components of clients’ digital strategy. Going forward, clients will need help to transition these quick response digitization efforts into meaningful and sustainable outcomes. We see this happening in three ways that will be drivers of future growth for CGI. First, partnering with clients to enable their business agility through a range of business and digital initiatives focused on human capital and culture practices, process automation and data analytics. Second, enabling the future workforce and workplace by helping clients quickly adapt how their organizations operate and collaborate, with people and technology at the center of these changes. And lastly, in addition to physical supply change the pandemic disrupted technology supply chain which is reinforcing clients’ ongoing efforts to have fewer IT partners. This vendor consolidation is now being driven by combination of factors including the desire to mitigate risk across their global operations, gain efficiencies of scale and achieve greater elasticity in their IT solutions including through the cloud. These three represent longer term shifts that will require sustained trusted partnerships with enterprise firms like CGI. We’re well positioned with our end-to-end services and solution to deliver immediate cost savings through our managed services accelerate digitization through our IP solution and help clients drive revenue growth through our consulting assisting integration services. We also remained committed to accelerating profitable growth through our buy strategy. Our financial capacity, strategic inclination and operational readiness for both transformational as well as metro market mergers is very high. With further industry consolidation expected post-crisis we continue to actively asses a growing pipeline of potential merger opportunity. A pipeline is growing in both number of targets and the size of those targets. As always, investments in our buy strategy will follow our disciplined approach as we look for the right company at the right time and for the right price. We are confident that we will emerge post-crisis and in even stronger position to continue to execute on our build and buy strategy. Our strategic aspiration remains double the size of the company over the next five to seven years for the benefit of our members, clients and you, our shareholders. Thank you for your interest and support. Let’s go to the questions now. Everyone.
Lorne Gorber: Just a reminder, that there’ll be a replay of the call available either via our website or by dialing 855-859-2056 and using the pass code 149-5772 until August 27 and as usual a podcast will be available for download and any follow-up questions can be directed to me at 514.841-3355. Sharon, if we could pull for questions.
Operator: [Operator Instructions] First question comes from Thanos Moschopoulos with BMO. Please go ahead.
Thanos Moschopoulos: George, can you comment on what return to work is looking like for CGI and some of the economies that have started to reopen, how some of your employees been returning to client sites and if you’re seeing productivity improvements into results? And to what extent have you been able to leverage a local presence competitively as things are reopening?
George Schindler: Yes, thanks for the question, Thanos. We do plan to return to the office when it’s safe and as it’s safe and that’s important because proximity does drive client intimacy and a client intimacy is needed to have the trust for those larger managed services and IP engagements. So it’s all tied together and we’re seeing that. So we’re up to about 15% of our global workforce in the offices either our office or a client site and that ranges everything from 1% in our India global operation center of excellence to France, which is nearing 50% almost half of our members in France are back either at the client site or at the office. And we’re prioritizing in two areas, one; work that needs to be done on site typically that’s for various security and privacy reasons and prioritizing business development individuals because that in-person collaboration is critical not as much for the existing clients but in order to gain prospective clients. So of course we’re practicing all the safety precautions and it is very different. Like I said, it ranges differences in different locations and we see that actually being more granular as we move forward that it’s really the pockets of hotspots will happen locally and we’ll react the same way we did during the global shutdown.
Thanos Moschopoulos: Great and APAC was obviously quite strong. Is there revenue growth being driven proportionately by customers in one or two specific regions or is the demand we’re seeing more broad based across regions? And also is there a dynamic where you’re seeing more managed service work and perhaps some of that lends itself more to APAC and it’s actually being to growth as well.
George Schindler: Yes, so managed services is definitely the driver of some of this uptick and work in Asia Pacific. Right now the demand is or what you’re seeing is driven mainly by North America lot in the US and in the UK and that’s not surprising because those are the units that are least impacted by the pandemic. But when you look at managed services, we have an active pipeline across every single region and we’ve seen demand being quite strong. It’s not so much demand varies by geography. Demand for managed services is varying a bit more by industry. Those industries that are most impacted by the pandemic, hospitality, transportation services some of the retailers. They’re having, they’re much more open to having the discussions about a broader managed services agreement because they need the savings now. Others we see various industries are looking more at both savings and reinvest in those savings and those are some of the banks, some of the leading banks are looking at. Yes, I need to have some savings, I got to prepare for some potential loan losses. I need to get my expense ratio down. But technology drives my business and so I’m going to reinvest some of those savings on new opportunities. So there’s multiple flavors now of the managed services opportunity. It’s not a one size fits all, but we’re seeing demand pretty broad across each of the geographies and quite frankly, each of the industries but different flavors in those industries.
Thanos Moschopoulos: Great, thanks George. I’ll pass on.
Operator: Next question comes from Maher Yaghi with Desjardins.
Maher Yaghi: I wanted to ask you, the first thing I wanted to is to dig into your backlog performance. When you look at the third quarter, you know have the pretty good bookings given the circumstances with the pandemic etc. but when you look at the trailing 12 months book-to-bill continues to below one, so George I wanted to ask you maybe it’s hard for us here on outside trying to figure out that this is an overall industry dynamic or competitive dynamic versus peers that this effecting negatively or trailing 12 months book-to-bill. Would you be able maybe to share with us some of your win rates and how those have performed over the last year or so before and after the pandemic? And second, I wanted to ask you about the restructuring that you announced today. It seems like you have more visibility on your operation to have finalize these plans versus what you have discussed last quarter. Could you maybe talk about some of the efficiency improvements that you could see from those restructurings and what’s driving them directly? What’s behind those restructuring? What are you doing basically? Thank you.
George Schindler: That’s two pretty broad question. I’ll take the first one on the bookings and the backlog and you do point out that the bookings were relatively strong in this quarter. I want to start there, actually stronger than even they look, they’re higher obviously than the last quarter despite the full pandemic and that’s why I highlighted the 96% renewal rate and that’s across any business, that’s not just managed services, that’s managed services deal, IP deals, systems integration, even consulting deals. Pretty broad-based win rate and when you dive into the data that’s not on the strength of government. Even though government has actually grown solid growth across every single geography that we operate in and as you know government actually grew to 36% of our business in revenue. Government continues to be strong, but they’re buying a bit differently. They’re buying more in systems integration, consulting actually had a higher bookings in systems integration and consulting this quarter than previous quarters despite the fact that revenue is being driven, more and more by managed services. So I think it’s just a point in time where governments had to more quick responses, it’s driving growth in our business. But it’s not driving growth in our bookings. So bookings actually for government was less than the 93%. It was in the 80s. So the commercial is really driving that as government returns to more normal operations, there’s active procurements involved in government’s around the world and I would may be point to the UK, which had a softer booking yet had growth for overall for the quarter and projecting to continue that trend. So that’s what’s in the bookings now. When you look at the previous 12 months, so it’s not really competitive dynamic. If anything, what we are talking about in our strategic plan for next year is really a blitz [ph] on bringing our value proposition to more of our clients across each of our geographies. We actually already initiated that, we’re not waiting for the new fiscal year to do that, that’s driving those pipeline increases that I talked about and ultimately will return our book-to-bill to a healthy over 100% on a quarterly basis and then of course on a trailing 12-month. But trailing 12-month will lag a little bit, but we’ll get there very quickly. So that’s what going in the bookings and the backlog environment. So hopefully, that gives you a little more color, commentary to where we’re headed. On the restructuring, yes there’s two big areas of the restructuring. One is obviously does impact our billable members. It’s to make sure that our business is reflective of the demand. We’ve talked about this on which is to remind you a very rigorous. We run the business by very strict and rigorous metrics about what the SG&A should be and so we pull the SG&A back in line with where the strength of the business is in different geographies and that’s not widespread. It goes across geographies, but obviously some geographies aren’t doing much of any restructuring at this time. In fact are hiring and growing their businesses. So it really, it does vary. But when we talk about the SG&A. we’re always looking at this and so as we take the changes on the billable members. We’re also taking a harder look at our SG&A not from a ratio perspective. But where that SG&A resides and so we’re moving some of that SG&A as the business continues to evolve and particularly based on the demand equation. We’re moving some of that SG&A to lower cost centers from the center, that’s going to result in sustainable savings on the SG&A regardless of the growth curve and the recovery pace. So that maybe gives you a little more color into the situation. Certainly that’s a tailwind that element of the SG&A restructuring is a tailwind to our margins going forward.
Maher Yaghi: Thank you and how fast should we expect those restructuring to pass through your P&L?
George Schindler: I think you should see that as early as not all of it at a run rate basis. But you should start seeing that at the beginning of the fiscal year 2021.
Maher Yaghi: Okay, thank you very much.
Operator: Next question comes from Steven Li with Raymond James.
Steven Li: George, in your prepared remarks expecting gradual improvements through the rest of the year. Will this apply to your organic growth as well in the sense we have seen it bottom this quarter?
George Schindler: It’s a great question. Although the pace of the recoveries is still somewhat uncertain as I’m sure you read the same news and see the same things I see. But there are many positive signs that provide that optimism that we put in the prepared remarks. The solid bookings above last quarter which I already talked about. But the growing pipeline that’s pretty broad across geographies but also across our services for managed services, intellectual property but also for systems’ integration and consulting. We see that going up. Continued strength in the public sector procurements as I mentioned, to solid growth in the quarter across each of the geographies we see that continuing, that will be a tailwind and then return to normalcy in the discussions around new initiatives with our clients particularly in advancing their digital strategies particularly around the areas I talked about enabling business agility and digitization for their workplace and the ecosystem. So these are all positive signs. Although always these take some time particularly for the managed services depending on the transition complexity to go from a booking into recognized revenue. But there is lots of positive signs for growth in the next year. So it won’t all happen at once. But there’s positive signs there.
Steven Li: Okay, that’s great. And I have a question on Scandinavia. The non-renewal of infrastructure incident, what’s the magnitude of that? Would it represent half of the year-over-year decline and is it all condo?
George Schindler: Well no, on the infrastructure would not be a condo. A condo is mainly business consulting which soft, temporarily point in time. But in fact is absolutely necessary for the rebound and the reinvention phases that we’ll be moving into. So but a no, would not be driven from that infrastructure is really our traditional business in Sweden as you know. We’ve been taking a very rigorous look at that and we’re not looking at renewing projects that is a race to the bottom. The margin is important to us and so we’re not in that game and of course we do that in a respectful way. But we did deals to be good for all of our three stakeholders’ not just one or two of our stakeholders. So that’s really what’s going on. I don’t have it quantified. I’m sure we can get that for you. I just don’t have that in front of me right now.
Steven Li: All right, very helpful. Thank you.
Operator: Next question comes from Ramsey El-Assal with Barclays.
Unidentified Participant: This is actually Ben on for Ramsey. Thanks so much for taking my question. I wanted to ask one, first for George. Along the kind of topic organic growth you were just talking about. You mentioned in your prepared remarks that you’re starting to see return to longer term recurring revenue contract and a couple quarters ago. It seemed like that was almost the reverse. It seemed like longer term deals were being broken up and this was [indiscernible] a set down in organic growth. Is this sort of a reversal of that or more kind of just a near term step up? Maybe if you could give some color around that, that would be helpful?
George Schindler: Yes, so what I mentioned at that time is that, we saw that the uncertainty driving a temporary pause in kind of those larger deals. If anything the certainty of the uncertainty has driven a reversal. So yes, it is reversal. It was not the reversal I expected. I don’t think anybody predicted exactly the extent of the global pandemic. But the result is exactly what we thought would happen is once you got some certainty or in this case, a knowledge that we’re going to be in a maybe slower growth market from a GDP perspective that drives those recurring revenue larger deals. It gives the clients the impetus to do that and of course that’s a tailwind to CGI’s growth in the face of maybe a slowing overall growth environment.
Unidentified Participant: Okay, that’s very hopeful. If I could ask one more, just kind of on the M&A strategy in regarding capital deployment. I guess in two parts maybe on the one side a few quarters ago you talked about being a scale in maybe a quarter of your metro market. And so thinking about that strategy, would you say you’re more likely to kind of achieve greater scale within the markets you’re in or seeing entering more geared toward entering new geographies and on the other side of that, you mentioned that buybacks were not the priority right now. But maybe what would sort of change that thinking, that would make you more interesting purchasing around [ph] shares.
George Schindler: Yes so first on the M&A strategy. It is about going deeper and broader in the markets we’re in. so example is, that we’re in the United States that’s a market but of course within the United States we’re more concentrated maybe in the North East or the Southeast but aren’t as big as we could be in parts of the Southwest. The west and quite frankly even the Midwest. So these are opportunities for us to grow in new metro markets but not new geographies so they’re still comfortable we’re not entering a brand new regulatory regime, so that’s an example we’re doing the same thing in UK, Germany, etc., so that’s the overall strategy. As far as capital deployment really the focus right now and it’s really because the opportunity right now for us to is us to play into the growth opportunities on the managed services. We want to deploy capital into the transitions maybe some assets purchases where it’s necessary and other incentives to do those longer-term deals and so that’s the use of our capital. Intellectual property as I mentioned big opportunities so we’re dialing down on some of the investments in intellectual property. And then the M&A opportunity we believe will be very right for the future and we want to be prepared for that, so that’s really the reason for the strategy. I think for the foreseeable future as long as we see that opportunity, we wouldn’t change the strategy. And I’ll just remind you and maybe François you can go through kind of the priorities and the use of the cash. We’re not really changing the priorities. We’re just being more focused on where the opportunity is right now. So maybe François you can do that.
François Boulanger: Exactly, George alluded and I think back in the business and the opportunity and we’re seeing a lot of opportunity on the buy side and again, we did take some debt lately just to be ready to action on these potential. But we will need to relook also what do we with our debt in the near future and so that’s why for now we’re concentrating on the internal and on the inorganic side. And if naturally after we’ll look and see what do we do with our long-term debt and when we’ll be able to come back and doing some share buyback.
George Schindler: Yes and maybe I’ll just to add François that we do still have a tailwind from buybacks that we’ve done in previous quarters.
François Boulanger: Yes. We did half of the program already this year. So we did buy them more than 10 million shares, where our maximum was 20 point something million shares in the year so already, we did half of it and in six months, mostly in six months so it’s pretty good there. Until now.
Unidentified Participant: All right, that was great. Thank you so much for taking my questions.
Operator: Next question comes from Richard Tse from National Bank Financial.
Unidentified Participant: This is Mihir calling in for Richard. So I just had a one question and a follow-up. So I’m wondering if you could talk about some other trends, you’re seeing in July with the restrictions lifting.
George Schindler: Sorry, I didn’t catch that. It was little - my fault. With the - in July, what?
Unidentified Participant: Yes, if you could just talk about the trends in July like what the restrictions lifting from what the globally so wondering if you can talk about, what you’re seeing in July?
George Schindler: Okay, just in July as a month. Well I would say we’re exiting and I mentioned this maybe a little bit earlier but as we moved through the quarter. We’re seeing a return to more normalcy in the discussions around the new initiatives. So what we saw is most of our clients in the immediate aftermath of the pandemic. Once they did the immediate response things, to move remote and stabilize business. They went into a bit of a reprioritization phase on where their initiatives, where their spends would be and as we move through the quarter. I wouldn’t say normal, but more normalcy in those discussions about actual new initiatives. Their digital strategies, their future business plans and so we’re having much more those discussions. I’m having those discussions personally with CFO’s around the globe and as a common theme that I hear. Whereas maybe the discussions I was having in April and last time we got together. It was more all around the response. Now it’s really all around what they’re going to do to further their business given the landscape that we’re in. so again I think that’s a positive for investments in IT albeit, maybe a little bit different than it would have been even six months ago.
Unidentified Participant: Okay, thank you for that. And just one more, I was wondering if you could talk about what solutions and services, you’re seeing the most affected?
George Schindler: Services and solutions, most affected. So the biggest impact from an initial positive was actually infrastructure because there was a need to increase some of the infrastructure that was kind of temporary up. We also saw that the most impacted on the downside was the consulting activities again. We believe that’s temporary that’s just as a quick response from me just stop everything or delay everything, pause everything until I make a different decision. So those are the most impacted on the two ends of the spectrum. In a longer-term period, the ones that we think are going to be most impacted by this are going to be the desire and the need short-term -- for more managed services and more intellectual property. Intellectual property to accelerate the digitization effort and even things. If you think of IP even areas where the volumes are up significantly. So a number of our intellectual property in the financial services space is around loans and collections and obviously that scenario that’s going to be impacted with higher volumes, payment solutions with no touch that’s going to drive higher volumes. So there definitely impacts, but it’s almost impacts in every one of the services. Like I said, even though temporary downside on business consulting we see intermediate term upticks there as clients have to reprioritize where they’re going and quite frankly maybe even some reinventions of industries will go on and our clients will need to react to that. So I know that’s a lot, but that’s - it’s a very dynamic market right now and I guess it end this way. Dynamic markets are very good for our services. Every change you need to make in your strategy and how you approach things is good for professional services firm with end-to-end services like CGI.
Unidentified Participant: Thanks so much for the color. I’ll hop back in the line.
Operator: Next question comes from Jason Kupferberg with Bank of America.
Cassie Walker: This is Cassie on for Jason. First question, I just wanted to clarify not sure if you mentioned this specifically. But what was the organic constant currency revenue growth rate that you guys recorded at 3Q. And when you kind of do your internal scenario analysis do you see the potential for that to actually turn positive in 2020? That’s my first question. Thanks.
George Schindler: So thanks for the question, Cassie. No we don’t - as we started this pandemic, we haven’t been breaking out the difference. I gave you the overall growth rate. The reason for that is, as we integrate new businesses. The run rate changes dramatically as I just talked about various services are impacted differently, geographies are impacted differently, industries are impacted differently and so it’s not a straight run rate, what you normally do around organic growth and in organic growth. We talked about that on the last call. Having said that, I mentioned the tailwinds that we see going in our favor it doesn’t happen all overnight. So I don’t necessarily see that happening immediately. But overtime yes, we see it gradually improving and returning to growth in 2021.
Cassie Walker: Got it. Thank you and my second question is just overall. How have you been seeing the pricing environment involved like have you sort of seen an increase in pricing sessions or payment delays or has that actually been improving sequentially throughout the quarter? Thank you.
George Schindler: Yes, it’s a good question. We talked about that a bit on the last call and as far as payment delays. I think you see the results of the payment or of our cash generation and there’s multiple factors in there. But certainly one of the big factors is increased and continued collections with our clients. So we did get some request but we haven’t necessarily done anything about that and that’s in cooperation with our clients because of the services we’re delivering and the importance for us to have the cash to continue to invest in providing those services. So payment hasn’t been an issue. On pricing, there’s always some I would say behaviors that change in a crisis that goes in different ways. But we remained disciplined in profitable organic growth and that’s what we’ll continue to do and I think we’re showing that we’re able to do that and be very resilient even in the phase of some declining revenues like in Canada. Actually the margin both in percentage and dollars increased by good management and working in cooperation with our clients to bring them increased value. So that’s not been an issue for us. I don’t know François, if you want to add anything on the case side.
François Boulanger: You saw that [indiscernible] when our DSO went down from 52 days to 48 days so it’s a pretty good results in the quarter reflecting that clients are happy with our services and no criticality of our services and so it’s a pretty good performance on that front.
Cassie Walker: Got it. Thank you.
Operator: Next question comes from Daniel Chan with TD Securities.
Daniel Chan: You mentioned earlier that you’re seeing strong demand in managed services but bookings were 55% were coming from consulting. I know you mentioned that government was a large driver of that change in mix. Was there anything else there to drive a higher mix of consulting bookings this quarter and do you expect that to reverse in the future?
George Schindler: Thanks for the question, Dan. Yes, the big wins in the quarter driving that SI&C growth were both government but also health and some retail and again not surprising those that had to act very quickly in the face of the pandemic and the good news is, we’re playing into that demand. We’re winning a number of those systems integration and consulting deals. And as I’ve always said we’ll play to the demand even as we also -- for the future. Those larger deals are in the pipeline, are in the works, they do take longer because they’re more complex to close. So I think it’s a win-win. It’s the consulting we think will continue to be strong in those industries I mentioned as managed services starts to pick up in those other areas and of course the managed services drive a much higher book to bill when they come in.
Daniel Chan: Makes sense. Thanks. And then can you just remind us, what a change in US government how that would affect your business, generally positive for you?
George Schindler: I always start this way. One, we’re apolitical when it comes to what administration does or doesn’t win the election. But we do scenario planning on the election and quite frankly, when a new administration comes in, change is always good for us. But let me maybe talk about it, this way. There’s kind of three buckets. One is, we typically see run up to election, increased activity as we get closer to the election and I don’t think this election will be any different despite the pandemic that’s what our bookings and our pipelines submissions look like and you saw we had strong bookings in the US federal this quarter. But we see that increased activity going probably through or into September and then you got a very pronounced slowdown in decision making right before the election and then during a transition. Let me be clear. There will be a transition regardless of which party wins. Typically what happens is, in a second term essentially there is a turnover staff, there is a transition maybe not as pronounced as of it’s a party change. But there will be a transition. So the slower decision making that’s why you see some of the uptick. So bookings will take a hit but not growth because growth will have been dealt with in the earlier bookings. And then increased activity is expected after the transition. And what we see in almost every scenario is an increase in domestic program. Although they may differ in which domestic programs would increase but we do see an increase and that would be good for us because the bulk of our work is in federal over 60% of our work is in the civilian space. So we’re well positioned there. But again I’d end the way I started. The change is good for IT. The one scenario and we’re planning for everything the one scenario that would hurt us depending on who wins the senate versus who wins the presidency, could put some gridlock into the system and that just slows everything down. In that case, incumbency rules. And as you know, we’re on a number of blanket purchase agreements that’s what you buy under when you’re in a continuing resolution and more gridlock. We’re prepared for that. We’ve grown our business through those periods. So that’s not a concern. But certainly a scenario we plan for. It’s not the most likely scenario, but it’s one we plan for.
Daniel Chan: That’s great. Thank you very much.
Operator: Next question comes from Paul Treiber with RBC Capital Markets.
Paul Treiber: In light of the travel restrictions and social distancing over this past quarter. Could you provide some indication of how your proximity model performed in the environment? And also do you think that your proximity model allows you to gain wallet share with customers this past quarter?
George Schindler: Yes, I think the proximity model certainly played into that. Like I said, intimacy is driven by being in proximate nature we can react faster as pockets reopen faster or reclose as the case maybe. Where they lock step, when a restaurant opens. We’re there to have the first meal. In fact I’ve had number of stories around the globe where our consultants had the first meal with somebody in a restaurant that the client has had and that’s certainly creates more of that intimacy and that relationship. So I think that definitely played into it because you have to be having the conversations in order to understand what the priorities are, in order to play into those. So very pleased with the 96% renewal rate. And I want to highlight and it’s not always crystal clear, that renewal rate is not just renewals of large engagements. It’s renewals in a number of engagements with our clients everything from systems integration, consulting IP and managed services and 60% of that was for net new business. So that word add-ons in the renewals that drives new business and that will drive future growth as well. So we’re committed to the proximity model that’s played it’s worked very well. But of course always complemented with our global delivery centers of excellence because that intimacy drives the trust, allows you get the bigger deals and the bigger deals, the managed services deals then leverages our entire global delivery network. So the two play hand-in-hand.
Paul Treiber: And then in regards to the disruption from COVID and then generally speaking, the global uplift in new digital initiative. Ecommerce, work from home etc. how would you rate CGI’s competitive advantage over the capabilities in digital compared to peers and do you expect the uptick of digital to be a catalyst for CGI’s gained market share?
George Schindler: Yes, I think it’s a definite catalyst. I would rank our consultants and experts very high in this. We’ve invested in this in both our own learning and training, our hiring. But also in the metro market mergers that we brought on board some outstanding talent in all of the digital technologies. So I’d rate us very high and in fact within the clients that we have, we do very well. But as I mentioned back when we talked about the overall book-to-bill. There’s a blitz [ph] on bringing that value proposition to more clients that don’t know us and that’s where the opportunity lies. But it’s not a market share opportunity within the existing clients in fact it’s the reversal. We’re doing very well. We love vendor consolidation because typically we’re the winner in a vendor consolidation scenario.
Paul Treiber: All right, thanks for taking my questions.
Operator: Next question comes from Deepak Kaushal with Stifel.
Deepak Kaushal: I’ve just got a couple of follow-ups and I’ll try to be quick given [indiscernible]. George, you made some good color on North America returned to kind of normalcy, US government sensitivity. I was wondering if you could give us kind of some more insights into what you’re seeing just over the last month given some of the disruptions we’ve seen in certain states. Whether it’s second labor related or protest related? Does this have any impact on your business or customers kind of reacting differently to the situation today than they were perhaps a couple months ago or a year ago?
George Schindler: Yes, no it’s an interesting question. As you know the United States is a big geography and there has been disruption both from the public health crisis as well as the racial justice movement. But most of the companies that we’re working for, even though we’re approximate and local with the local decision makers. They’re global companies and they’re making decisions across the globe and so it’s not impacted just by any one city or area and as you know, the Northeast is doing very well on the public health crisis and that’s where we’re - tend to have a little more concentration. So we haven’t really seen that disruption of course. We’re running all the scenarios and we’re preparing for all the different situations. But right now in the immediate term we haven’t seen much difference in this issue.
Deepak Kaushal: Okay, thank you. That’s interesting. And then just I guess I can try and dovetail this or segue into an M&A question. You talked about geographic expansion and metro market expansion in the US for example. What about industry expansion you mentioned public health? When you think of things like ESG or supply chain as you mentioned earlier or even defense as you mentioned you’re well in APAC. Are you looking at any specific vertical industries or do you see opportunities for boutiques focused on certain industries to help build out your business on the M&A side?
George Schindler: Definitely we do and in fact, the two go kind of hand-in-hand. If you look at most countries and geographies around the world, industries tend to concentrate in certain areas so you might light manufacturing in the US and in the Southeast, you might have the pocket of insurances in this Golden Triangle in the Northeast and so forth. And in fact, you mentioned healthcare, that’s an area that we increased our life sciences right in that pocket of where a lot of pharmaceuticals are in the US with our acquisition, merger a few years ago with Paragon. So that then became the catalyst for a broader life sciences initiative across the US and in other pockets of the world. So definitely the two go hand-in-hand, so we’re always looking to build that industry expertise because that becomes a critical point of the value proposition.
Deepak Kaushal: Got it and my last one. Are you able to give us a sense to the pandemic? To what extent are you seeing customers pull forward in spending and get a [indiscernible] you seen certain industries [indiscernible] all are - are we not expecting to see a pause from performance?
George Schindler: Yes as far as the pull forward –we haven’t really seen that yes there were some spending in the initial aftermath like I said temporarily on some of the infrastructure some of that was probably overdue and was just a cost of doing business. But I don’t see any like pull forward and then there was going to be a big delay. In fact like I said, I think it’s the exact opposite. I think there was an immediate kind of delay of activities as each of these various enterprises decided on what their priorities are going to be, that’s reprioritization. I talked about now we see it actually returning to more normal as we move through the quarters to come.
Deepak Kaushal: Okay, great. Thank you for taking my questions.
Lorne Gorber: Sharon, we have time for one last question.
Operator: You have a question from Stephanie Price with CIBC.
Stephanie Price: I just wanted to ask question around the transactional side of the business and you kind of highlighted that as one of the weaker areas this quarter. Just wondering how we should kind of think of the recovery here and what you’re seeing in fiscal Q4?
George Schindler: Well I do think it’s temporary. But I did highlight because it did have an impact like I said, when nobody is traveling. Your visa volumes are going to drop significantly on the payroll side. We used that example. We do some of that payroll in Canada for smaller, medium-sized enterprises as they take advantage of government programs in Canada and put people on layoff status. There’s not any for the payroll. So we took a hit there. Actually that was - actually more of pause between the time that they actually instituted the program because that actually brought some of the payrolls back. I believe most of that like the rest of the recovery will be fairly temporary. Those volumes will return and again we see that even in some the trade related business where the volumes are - where people are looking at more digital enablement of trade will drive some actually more volume. So I think it’s temporary. We’ll return to normal. It could return actually - get a little bump at least in the immediate aftermath that would make up for some of it. But that’s what I see right now. It’s still a great business to be in. it’s just that it does get impacted by situations like this.
Stephanie Price: Great. Thank you very much and just maybe one more. Just on the government pipelines more broadly you mentioned that’s a driver as well. I’m just wondering what you’re seeing in terms of booking environments and how you think that’s going to change as kind of these government rollout stimulus?
George Schindler: Well I think it’s a big opportunity because as they rollout the economic side of the stimulus. First it was just really to make sure that people could survive. But as they move into the economic stimulus to move more towards the growth environment every one of those programs requires opportunities for CGI and with various governments to help them and help the industries that are receiving that. And just one example of that is in our intellectual property. In the US government we have a disaster aid transparency solution that we pivoted towards the pandemic that facilitates faster transfers between central and local governments with transparency that’s needed. But then on the other side, we received that with the state - with our ERP module of advantage in Grants Management to make sure the financial management and accounting are taken care of. And those are just examples of the back-office systems that are required overtime you do one of those programs. So it will be a driver for future growth for CGI.
Stephanie Price: Great, thank you very much.
Lorne Gorber: Thank you, Stephanie and thank you everyone for joining us this morning. We’ll see you in early November for our Q4 and fiscal 2020 results. Thank you all.
George Schindler: Thanks everybody.
Operator: This concludes today’s conference call. You may now disconnect.